Operator: Hello, and welcome to The Valens Company’s Fourth Quarter and Fiscal Year 2020 Financial Results Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Everett Knight, Executive Vice President of Corporate Development and Capital Markets of The Valens Company. Everett, please go ahead.
Everett Knight: Thank you, operator. Good morning. And welcome to The Valens Company’s fourth quarter and fiscal year 2020 financial results conference call for the period ended November 30, 2020. A replay of this call will be archived on the Investor Relations section of the Valens’ website at thevalenscompany.com/investors. Before we begin, please let me remind you that during the course of this conference call, Valens’ management may make statements including with respect to management’s expectations or estimates of future performance. All such statements other than statements of historical facts constitute forward-looking information or forward-looking statements within the meaning of the applicable securities laws and are based on expectations, estimates and projections as of the date hereof. Specific forward-looking statements include without limitation, all disclosure regarding future results of operations, economic conditions and anticipated courses of action. These forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. For more information on the Company’s risks and uncertainties related to forward-looking statements, please refer to our latest Annual Information Form and our latest Management’s Discussion and Analysis, otherwise known as MD&A, each as filed with the Canadian securities regulatory authorities at sedar.com or on The Valens Company’s website at www.thevalenscompany.com. The risks described in the Annual Information Form, which may cause the actual financial results, performance or achievements of The Valens’ Company to be materially different from estimated future results, performance or achievements expressed by the forward-looking information or forward-looking statements are hereby incorporated by reference herein. Although these forward-looking statements reflect management’s current beliefs and reasonable assumptions, based on current available information available to management as of the date hereof, we cannot be certain that the actual results would be consistent with the forward-looking statements in the future. We caution you not only to place undue reliance upon any such forward-looking results. For any reconciliation of non-GAAP measures discussed, please consult our latest MD&A as filed on SEDAR. Joining me on the call today are Mr. Tyler Robson, Chief Executive Officer; Mr. Chris Buysen, Chief Financial Officer; and Mr. Jeff Fallows, President. With that, I would now like to hand over the call to Tyler. Tyler, please go ahead.
Tyler Robson: Thank you, Everett. And welcome to everyone who has joined our earnings call to discuss our results for the fourth quarter and fiscal year ended November 30, 2020. Later on today’s call, Jeff Fallows will provide an update on our operational achievements, Everett Knight will highlight the industry trends and capital markets activity and Chris Buysen will give an overview of our financial results in the fiscal quarter. But first, I’m going to talk about our accomplishments from the year. Fiscal 2020 was a pivotal year for The Valens Company. Over the course of the year, we transformed from leading extraction company into one of the industry’s most trusted third-party manufacturers of cannabis consumer packaged goods. And while the industry faced headwinds and uncertainty that impacted our 2020 financial results, The Valens Company had the most productive operational year in our history. And we are incredibly proud of everything we achieved during this transitional period for the business. Over a year of rebuilding, we focused our efforts on creating what we believe is the most innovative, adaptable and cost-effective cannabis product manufacturing platform in the market today. This platform sped up our ability to get finished products into the market and allowed us to advance in key growth verticals. Fiscal 2020 net revenue increased 44% to $83.3 million in fiscal 2020, compared to $58.1 million in fiscal 2019. With our growth capabilities to manufacture and ship out finished cannabis products, we increased product sales revenue year-over-year by 237% to $54.7 million in fiscal 2020. Product sales made up 65% of total revenue in fiscal 2020, and we expect that number to increase as we continue to launch new products and capture market share in the Canadian recreational market, Australian medicinal market, and other new markets we expect to enter in the near term. In Q4 2020, product sales as a percentage of net revenue increased to 90% from 83% in Q3 2020. Q4 2020 was Valens’ first full quarter provincial sales with a wider range of 2.0 products and categories such as concentrates, vapes, beverages and oils. We’re happy to report that the provincial sales increased 292% from Q3 2020. From these sales, we saw an increase in Cannabis 2.0 market share to approximately 4.9% in Alberta, British Columbia and Ontario, based on Headset data. And again, we expect provincial sales to continue to increase, as we expand our portfolio of products and increase our partnership network. As demonstrated in these highlights, our key drivers for success are expanded as a manufacturer and we recognize the meaningful growth potential we have as one of the lowest cost cannabis platforms. Throughout 2021, Valens will focus on growing unit volumes per SKU, increasing Cannabis 2.0 and 3.0 product market share, and driving revenues in new consumer verticals with our newly added manufacturing capacity at our K2 facility, and soon our GCA facility and LYF facility, subject to the transaction closing on or around March 1st, 2021. Additionally, over the course of fiscal 2021, we expect to enter new markets and expand our distribution network, both provincially in Canada and outside of the country and markets such as the U.S. as legal and regulatory frameworks continue to evolve. While it’s hard to ignore the challenges of the past year, I’m proud of some of the tough decisions we have made and can confidently say that from an operational perspective The Valens Company is going from strength to strength. Our strategic transformation from an extractor to a manufacturer has undeniable been a success, and as we now have one of the most formidable product platforms in the country, and we expect this to start being reflected in our financials. As previously stated, it is our goal to eventually touch 20% of all manufactured products in the 2.0 market, an objective we have already almost achieved with certain products and markets, and we look forward to rolling out various new 3.0 products over the course of 2021. I’ll turn the call over to Jeff Fallows, President of Valens Company, to dive deeper into our operational achievements in this quarter and give our high level objectives for 2021.
Jeff Fallows: Thank you, Tyler. As mentioned earlier, over the course of 2020, Valens established itself as a leader in the Canadian cannabis product manufacturing market. We began shipping bulk distillate in the first quarter and closed out the fiscal year shipping hundreds of thousands of finished products per month in the fourth quarter. Our transition was received well by our strong partnership network, demonstrated by our 10 white label and custom manufacturing agreements, in addition to our sustained relationships with many leading licensed producers in Canada. We are proud to say that in fiscal 2020 Valens launched some of the first 2.0 product formats available to the market, including cannabis-infused beverages and hydrocarbon-derived crumble in partnership with our brand house partners. And through our vapor chemistry, research and innovation, Valens cemented its position as the largest third-party vape manufacturer in Canada. We are pleased by the continued positive consumer response we have seen from our vape products, which have been created in partnership with Verse Cannabis, High Noon, Czech [ph] Brand, Burns, [ph] and others. Specifically, in the fourth quarter, we manufactured 62 product SKUs, representing an 11% increase over our third quarter of 2020. The SKU spanned four product categories with formats such as vape carts, oils, and new higher potency beverages, and were made manufactured for a number of our customers. Launch subsequent to the fourth quarter where THC drops, which are part of a growing product portfolio, we have planned with Verse Cannabis and a CBD isolate formulation under the nūance portfolio created specifically for the medical cannabis by shoppers channel. Moving forward, we expect continued quarter-over-quarter SKU growth, especially as we introduce a host of new formats to the market in the coming quarters. This includes pre-rolls, live resin, batter, gummies and topicals like bath bombs and relief rubs. More importantly, we are confident that our product quality and consistency is increasingly being recognized by both our partners and provincial retailers as we continue to have success selling our products into the current market. We achieved a major milestone during the fourth quarter of 2020, with the launch of our K2 facility in Kelowna. This additional 42,000 square feet of manufacturing capacity and advanced product development space has significantly increased our capabilities, solidifying our position as the largest third party manufacturer and distributor of cannabis products in Canada. We are already shipping cannabis products from the facility including crumble, beverages, THC drops, vapes and tinctures and have commissioned the manufacturing of vapes, tinctures, beverages and bath bombs. Further, this GMP compliant mass manufacturing facility will also support our international expansion efforts, which are expected to ramp up in 2021. Looking east, construction is nearing completion at our 30,000 square-foot GTA facility, which will leverage source by Valens technology and specifically focused on the formulation, co-packing and manufacturing of cannabis-infused beverages. Earlier this week, we announced the submission of our site evidence package to Health Canada, and we are still expecting the receipt of the micro processing license in the second quarter of 2021. With this facility coming on line, we expect to increase our cannabis-infused beverage market share in Canada, which reached approximately 5.2% in Alberta, British Columbia and Ontario in Q4 2020, according to Headset data, despite Valens having only one customer in this category today. In fiscal 2020, we expanded internationally by entering the Australian market through a distribution agreement with Cannvalate. We began to monetize this agreement with shipments of tinctures into the Australian market in the Australian market in the third quarter, and we expect to continue to introduce various products designed for the Australian additional market in fiscal 2021. In the fourth quarter, our subsidiary Valens Australia received its wholesale licenses required to sell and supply cannabis-derived products, and in the fourth quarter was awarded its important and export licenses. These two milestones for Valens Australia increased our distribution capabilities for eventual on the ground operations in the country. And we expect the opportunity in Australia to offer a multimillion dollar revenue line this year with the ability to drive tens of millions of dollars in three to five years. Looking ahead to 2021, we have several goals that we are working hard towards. Firstly, as the global cannabis market continues to expand, we are looking to enter the U.S. market and other international markets subject to evolving legal and regulatory frameworks. We expect to enter new markets through strategic partnerships, and acquisitions with existing market leaders who we believe recognize the value in our platform, which focuses on quality, consistency and innovation. Two, we are also looking to enter new verticals, such as a health and wellness market with products such as edibles, beverages, bath bombs, and other innovative 3.0 products. Thirdly, it is our goal to continue to expand our domestic distribution networks to all provincial markets in Canada in order to maximize market share gains across the country. Finally, we expect to increase our international shipments by achieving EU GMP certification. Our goal is to increase sell-through in existing international markets where we already ship products, such as Australia and globally, as we continue to make progress in target markets. As Tyler mentioned earlier, we have made tough but strategic decisions in the fourth quarter to set Valens up for success in fiscal 2021. This included liquidating the majority of our cannabis oil inventories at market clearing prices to position the Company as one of the lowest cost cannabis platforms in the market. With over 1 million kilograms of dried cannabis on industry balance sheet, and without our outdoor growing coming on line, the opportunity for Valens is clear. And we are now best positioned to extend our relationships and grow market share in all product categories. 2020 was the first year of extract-based product sales in Canada. And we are encouraged by the growth we have seen year-over-year, despite a slower than expected start to our brick and mortar retail network and constraints due to the pandemic. We’re now beginning to see progress with over 1,500 stores with 425 of those in Ontario alone. And in December, extract-based product sales accounted for 30% of sales in Alberta, Ontario and British Columbia, according to Headset data. Although we are confident in the continued growth of extract-based products, we have decided to launch pre-rolls and other dried cannabis-derived products, not only at the request of our partners, but also to increase our total addressable market. Recently, we announced an amendment to our existing standard processing license permitting the sale of dried cannabis products, which we intended to begin to put to use in Q2 2021. With the capabilities to manufacture pre-rolls and the ability to sell dried cannabis products, Valens now offers a full suite of products for the Canadian recreational market. On our last quarterly call, we talked about our enthusiasm for the edibles market and our commitment to expanding in this area. I’m sure everyone on this call is aware, we have recently announced an agreement to acquire LYF Food Technologies, which expands our capabilities in this fast-growing product segment. I’ll now the call over to Everett to walk through the transaction in more detail and dive into our capital markets activity. Everett, please go ahead.
Everett Knight: Thank you, Jeff. I’m very happy to be here today to talk about our progress. As Tyler and Jeff may have made it clear, we have made strides building our outdoor platform, manufacturing a lot SKUs, significantly expanding our manufacturing capacity and launching on the international market. We are very proud of all the milestones we’ve hit recently, and expect 2021 to be a strong year for us as we reap the benefits of these achievements. I’m going to talk more about our decision to acquire the leading Canadian edibles manufacturer LYF Food Technologies, which is expected to close on or around March 1st. While analyzing the edibles market, and the different capabilities of the industry manufacturers, we recognize that producing edibles is an art, not a science. Not all products are equal. We are confident that the LYF platform is the perfect complement to our platform to create the best quality edibles products for our customers. The LYF team brings 25-plus-years of experience with relationships with big box retailers, spanning operations across North America. They have invested approximately 10 million into the platform to create only the highest quality next generation edible products. Their success LYF has had acquiring customers, paired with Valens’ current customer list offers tremendous synergies to the platform. We acquired LYF for Canadian C$24.9 million, plus approximately a C$17.5 million in consideration, which is subject to achieving certain EBITDA milestones. If the last EBITDA milestones of $10 million is hit, it would imply a 4.2 times multiple on fiscal 2020 expected EBITDA. This demonstrates the confidence and the competence of the LYF management team that a significant portion of their payout is contingent on achieving performance-based milestones. The acquisition is accretive and accelerates our entry into the edibles market, one of the fastest growing segments in the Cannabis 2.0 and 3.0 markets. Our combined industry experience, existing and deep supply chain relationships, and unique IP formulations together, create one of the leading consumer packaged goods platforms in Canada. Valens expects revenue synergies across the business as a full integration of the LYF’s platform and partner network will allow for cross-selling to both, new, existing and joint partners. LYF holds the capabilities to boost an exciting lineup of product formats, including real fruit gummies, caramel filled bars, peanut butter cups, hard candies, granola products, and other customized baked goods, also in vegan, no sugar and low sugar and natural ingredient offerings. As mentioned earlier by Jeff [Technical Difficulty] with edibles. And with LYF, we are now able to provide lower sugar and no sugar formats with premium ingredients such as coco, cinnamon, coconut, just to name a few. We believe this is a strong competitive advantage to Valens as consumer trends continue to shift towards the health and wellness vertical with minimal caloric intake, and in addition to quality and safety being top of mind. Valens’ access to low cost active ingredients, paired with LYF’s industry-recognized product IP formulations of over 100 recipes strengthen its capabilities to produce higher-margin, new-to-market edible formats in a segment with limited product variability, and increased consumer demand. With the added infrastructure and expertise from the LYF acquisition, we significantly expanded our edibles footprint, while also increasing our ability to capture market share in the rapidly growing product category. Similar to consumer trends in the U.S. cannabis market, edible products are anticipated to represent over 10% of sales in the maturing Canadian cannabis market and are currently the fourth largest product category in the Canadian recreational market. Although, the edibles market is growing in Canada, there is little product variability and increased consumer demand. We see an opportunity to produce differentiated product formats that you would typically only find in markets like the U.S., which we will expect will work to capture market share as they gain traction. Customization is key to keep up with evolving consumer preferences, and Valens along with the integration of LYF has a strong, competitive advantage to ensure that its products meet two core consumer needs, quality and consistency. We are currently in the process of integrating LYF platform and workforce and are looking forward to bringing their next-generation product capabilities to our existing customer base. The LYF facility in addition to Valens’ K1 and K2 facilities will serve as 2.0 and 3.0 manufacturing and sales hubs for LYF and Valens combined roster of new and joint customers. LYF is currently shipping products for its existing B2B customers, and we expect to be ready to ship edible products for our partners in the next few weeks. Also, subsequent to quarter the quarter, we raised $39.7 million in a bought deal financing, $32 million of which will be used to pursue strategic M&A and business expansion opportunities in Canada and international markets with the balance of net proceeds for working capital requirements in general corporate purposes. As I’m sure you are aware, it’s not just Valens that has been securing additional capital. We’ve been very-pleased to see plenty of other financings take place in the cannabis sector. In the past, we’ve actually turned away business from licensed producers that could not meet our balance sheet requirements, a policy designed to reduce the risk of default within our customer base. Now, with the wave of recent financing in the sector, we are finding more and more LPs are better capitalized, and we are starting up negotiations again with a broader pool of potential customers. Before I turn the call over to Chris Buysen, CFO, I would like to reiterate our guidance for Q1 2021. Revenue for the first quarter of 2021 is expected to be between $19 million to $23 million. We expect this to be driven by our newly launched and operational K2 facility, which is expected to give Valens the ability to increase product and provincial sales, entry into new innovative product verticals and significantly increase output volumes. With that. I’ll now turn the call over to Chris Buysen to run through the financial results for the fiscal year. Chris, please go ahead. 
Chris Buysen: Thank you, Everett. Consolidated net revenue for fiscal 2020 increased 44.2% to $83.8 million compared to $58.1 million in fiscal 2019. The increase in fiscal 2020 net revenue was largely driven by the Company’s cannabis operations. Revenue from this segment increased to $82.1 million compared to $57.8 million in the same period in fiscal 2019. Cannabis operations revenue associated with total extraction and co-packing decreased $14.3 million or 34.4%, as the Company continued to execute on its strategy of transitioning away from being strictly a toll processor to becoming a leading product development and manufacturing company. The continued execution of the product development and manufacturing strategy was highlighted by growth in product sales by $38.4 million or 237% to $54.7 million with the scale up of white label and custom product formulation and manufacturing to include tinctures, vapes, beverages, crumble and sourcing bulk winterized and distillate oil for our partner’s Cannabis 2.0 product. In addition, for fiscal 2020, the Company generated $2.8 million in revenue from analytical testing to the Company’s lab versus $0.9 million in the same period the previous year, including $1.1 million in intercompany testing revenues, as the volume of third-party tests increased year-over-year. Consolidated net revenue in the fourth quarter of fiscal 2020 decreased 47.6% to $16 million, compared to $30.6 million in the same period of fiscal 2019. The decrease in revenues in the fourth quarter was driven by a reduction in cannabis operations revenue to $15.6 million compared to $30.5 million in the same period in fiscal 2019. Cannabis operations revenue associated with toll extraction and co-packing decreased $21.3 million or 95.6% as the Company continued to execute on a product development and manufacturing strategy, as discussed previously. The continued execution of the product development and manufacturing strategy was highlighted in the increasing product sales by $6.2 million or -- sorry, 75.9% with the scale up of white label and custom product formulation, and manufacturing to include tinctures, vapes, beverages crumble, in addition to sourcing bulk winterized and distillate oil for our partner’s Cannabis 2.0 product. The growth in product sales was tempered by continued price compression realized in the sale of bulk winterized and distillate oil.  Quarter-over-quarter net revenue decreased $2.1 million or 11.5% to $16 million, compared to $18.1 million in the previous quarter ended August 31, 2020. The decrease in revenue for the fourth quarter was driven by a $2.1 million decrease in revenue from cannabis operations, which generated revenue of $15.6 million compared to $17.7 million in the previous quarter. Cannabis operations revenue associated with toll extraction and co-packing decreased $1.7 million or 62.6% due to continued reduced shipments of biomass from extraction partners. The Company also realized $0.6 million or 4% decrease in product sales due to continued compression in pricing in bulk winterized and distillate oil, which was partially offset by continued growth in provincial product sales of 292% over the prior quarter, as the Company continues to execute on its transition away from a focus on toll processing to product development and manufacturing. Various reintroduced provincial COVID-19 restrictions to cannabis storefronts also negatively impacted revenue in the quarter and led to a delay in achieving purchase orders, initially planned for the fourth quarter, resulting in these purchase orders being shifted into the first quarter of 2021. In addition, the Company generated $0.7 million in revenue from analytical testing to the Company lab, compared to $0.7 million in the previous quarter ended August 31, 2020, including $0.3 million in intercompany testing revenue as volume of third-party tests completed by the lab remains strong and consistent quarter-over-quarter. In the fourth quarter, we extracted 10,311 kilograms of biomass, a 28% increase over the prior quarter, using input from our LP partners for toll processing, as well as Valens’ own inventory for 2.0 product. In addition, the Company utilized its bulk oil to manufacturer 62 products SKU in the quarter, an increase of 11% over the prior quarter. Gross margin for fiscal 2020 decreased to $25.7 million, compared to $41.4 million in the same period in fiscal 2019. The decrease in gross margin was due to the Company shifting focus towards driving greater white label and custom manufacturing product volumes and sales. In addition, margins were impacted by compression and pricing in bulk winterized and distillate oil, which resulted in inventory valuation allowance of $9.3 million. The Company also recorded an onerous contract provision of $1.8 million related to SKU purchase commitment, in which the contracted valued exceeded current market rates. In the fourth quarter of 2020, the Company generated a negative gross margin of $6 million, compared to positive gross margin of $22.6 million in the same period of 2019, and $7.3 million in the prior quarter ended August 31, 2020. Gross margins in the fourth quarter of 2020 were impacted by the same factors discussed previously, related to the shift in business focus to product manufacturing and compression in inventory pricing, resulting in inventory impairment on certain loss of bulk oil and biomass. Operating expenses for the year ended November 30, 2020, increased 40.2% to $46.3 million compared to the same period in 2019. Operating expenses for the quarter were approximately $14.3 million, compared to $10.7 million during the prior quarter ended August 31, 2020, and was $12.1 million in the fourth quarter of 2019. The increase in operating expenses was largely driven by higher depreciation and amortization expenses associated with additional equipment put into service, the source licensing agreement, and higher salaries and wage as the Company continues to build out a team to execute on its product development and manufacturing strategy. We ended the fiscal year with positive adjusted EBITDA of $14.1 million or 16.4% of revenue for fiscal 2020, compared to adjusted EBITDA $27.5 million, or 47.3% in the same period in fiscal 2019. We are very proud to have achieved positive adjusted EBITDA for the year, despite the challenging conditions that existed in many parts of the market in fiscal 2020. We are one of the few companies in the cannabis space that has been able to achieve this level of financial performance for our shareholders. In the fourth quarter, it was determined that the term Valens term loan no longer provided the flexibility required to support the business or management’s strategic objectives. Accordingly, on November 30, 2020, the Company made a voluntary prepayment of $9.5 million, reducing the security term loan to $9.5 million. The credit facility was also amended to remove the accordion feature that previously allowed the company to increase the aggregate commitment under the credit facility by up to $10 million, to amend certain financial covenants, including the senior leverage ratio and fixed charge coverage ratio and the basis of EBITDA calculations for those financial covenants to be determined on an annual forward-looking basis, starting in the first quarter of 2021, the addition of a minimum liquidity covenant of $5 million until June 30, 2021, the addition of fourth tier pricing, resulting in interest on the term loan of prime plus 2% to prime plus 2.75%, depending on certain financial covenants, and a waiver was received from a lender relating to the fourth quarter of 2020 financial covenants. Valens incurred deferred financing costs of $57,000 to secure the amendment. These costs are included in the value of the term loan and amortized over the remaining life of the loan. As of November 30, 2020, the applicable interest rate on the term loan was 4%. The Company continues to closely monitor inventory levels and balances outstanding with our partners to ensure a strong financial balance sheet position. As of November 30, 2020, the Company had $11.1 million in trade accounts receivable outstanding over 60 days. And the expected loss rate for overdue balances is estimated to be $0.6 million, based on subsequent collection and various discussions with associated customers and analysis of creditworthiness. In addition, the Company has subsequently collected, has trade account payable outstanding with the same partners, or has recorded an impairment loss provision, representing 75% of trade accounts receivable balance, which supports the cash position of the Company. On January 29, 2021, the Company closed the bought deal financing, pursuant to which the Company issued 19.4 million units valued at $39.7 million, which was comprised of one common share of the Company and one-half share purchase warrants. Each full share purchase warrant is exercisable at a price of 2.55 per share for a period of 36 months from the date of closing. The company had $20.3 million in cash as of November 30, 2020, compared to $49.9 million as of November 30 2019. Valens’ current cash balance of approximately $50 million includes gross proceeds of $39.7 million from the bought deal financing that closed subsequent to year-end. With that, I’ll now turn the call over to the operator to open the line for the question-and-answer session.
Operator: [Operator Instructions] Our first question is coming from David Kideckel from ATB Capital Markets. 
David Kideckel: Hi. Good morning. Congratulations on the quarter, all. And thanks for taking my question. My first question is really related to your international, and specifically U.S. strategy. I know, we’ve talked about this in the past. Can you maybe just give us a little bit more detail about what you’re thinking and any opportunities you see come your way in the near term? Thanks.
Tyler Robson: Sure. Thanks, David. Maybe I’ll address this one. As we said on previous calls and on previous occasions, when we looked at the U.S., there were several factors that we found challenging and were content to focus on other international markets in the meantime. But, what happened with the change in the White House at the end of the year in 2020 in November, basically, it started the clock ticking in our mind on the opportunity coming to the forefront in the U.S. And, given that clock ticking, we continue to review all of the opportunities that we had in our pipeline in the U.S., continuing those conversations, accelerated those conversations in many instances, in preparation for launch into the U.S. Obviously, when we’re looking at those opportunities, we will continue to be mindful of our listing requirements and the legal requirements around entering that market. But, I can say that we are excited about the pipeline that we’re seeing and about the opportunities for Valens in the U.S.
David Kideckel: Okay, thanks. That’s very helpful. I want to switch gears a little bit here. So, we just did some research published at last night really on the edibles market in Canada, and what we’ve shown with Health Canada data actually is that there’s quite a bit of buildup in Canada as at October from 2020. So, I’m wondering what Valens’s recent acquisition of LYF Food Technologies, you can maybe give a little bit of insight here, because I know, with edibles, the buildup as per Health Canada, is that maybe specific to certain product categories within edibles, is it beverages or more specifically with LYF -- which is what LYF is doing is more in the gummy category, and are you concerned with these data? Thanks.
Tyler Robson: Everett, why don’t you take this one?
Everett Knight: Sure. David, thank you for the question and great data to cite. So, if you look at the edibles category right now, when you see that inventory data, if you look at majority of that, that’s made up by chocolates and beverages. And that’s really just of the initial companies not looking at what actually consumers want. One thing, we’ve looked at is being a data-driven approach. And when you look at the U.S. marketplace in the edibles category, gummies is over 70% of the market. And what we’re seeing and hearing from retailers today is, they can’t get their hands on enough gummies. And I would say that category is actually one of the fastest categories, not even only in the edibles space, but comparatively to everyone. So, this is a market that even in Alberta from a reference point went from 3.7% of the market in November to 4.2% in December. And if you look at the U.S. market, it’s around 10% of the market. And I continue to see this as one of the biggest growth areas. But, I think that was a mismanagement of what products versus what consumers wanted. We’re getting a lot of great feedback on gummies, and, as we mentioned in the prepared comments, look forward to those -- seeing those in the market in the near term.
David Kideckel: Okay, great. And if I can just squeeze one really quick one in here. I just want to focus on rare cannabinoids for a second. I know for the Valens team, this is something that you’re actively looking into and it’s received biosynthesis take off in the space. We see other LPs with partnerships, for example, gram of gram [ph] with highest biologicals. I’m wondering, what does that -- does Valens see opportunity for rare cannabinoids? And if so, it’s something that you think biosynthesis plays a role in, or is it more coming from the plant? Thanks. 
Jeff Fallows: Sure. Maybe I’ll let Tyler address this one. Tyler? 
Tyler Robson : Yes. So, a couple of things, David. I’d like to actually circle back to first to your last question about the oversaturation in edibles. And I want to tie it to what’s going on in the flower space. There’s a lot of inferior flower that isn’t selling. It’s the same thing with edibles. There’s a lot of inferior edibles, and even if you look at the recall that a lot of these companies have done, their business of inferior products, they didn’t have a well thought out plan or strategy. A lot of companies aren’t listening to what the consumer wants. And I think that’s the biggest fault. But getting into rare cannabinoids, that is 100% where we’re going, and you’ll see products come out in the latter half of the year. Whether it’s CBN, CBG, you’ll see some NPN numbers come out of us with different products, whether it’s sweet bait [ph] or different things like that. But biosynthetic will play a role in time.  Right now, the cost of production is significantly higher than what we can isolate different cannabinoids for. So, in time, when they can get their feet under them a little bit more, absolutely that’ll take place. But to do rare cannabinoids, we don’t need to wait for biosynthetic. You’ll see products this year from the Valens team. And I think we’re one of the only platforms out there that can do it sustainably and cost effective. Again, when you really look at our low-cost platform, I know we say we’re one of the low costs, we are the lowest cost purchaser of biomass. We’re also the largest purchaser of biomass. So again, we’re buying stuff that no one has access to, or can get it at the same, I would say, price that we can. So you will absolutely see rare cannabinoids leak out in our product portfolio, not only domestic Canada, but internationally as well.
Operator: Thank you. Next question today is coming from Neal Gilmer from Haywood Securities. Your line is now live.
Neal Gilmer: Hey. Good morning, guys. I appreciate the questions here. First, maybe I’ll start out that Everett in your prepared comments, you talked about a whole list of products you expect to bring to market through the acquisition of LYF. I was just wondering, can you give us a sense as to sort of how that will play out over the course of 2021? Are we talking about a whole bunch of near-term product launches, or is that going to be sort of spread out over the course of this year?
Everett Knight: So, Neal, I would say, it’s near term product launches. What we’re focusing on first is, is the gummies category. But, you’re going to see quickly more and more innovative products come out right after that. And we’re going to keep that feather in our cap and keep that confidential. But, I think what I’d say is, I look forward to some of those new products or customized products that would be coming out over the next few quarters.
Neal Gilmer: I appreciate that. Maybe the other one is sort of like a housekeeping item. Obviously, I think you take your lumps on with the inventory write-down that you’ve announced and recorded in this quarter. So, is it fair for us to assume that, go forward, you’re not expected at this point in time any further inventory write-downs, you sort of clean house with that, and then going -- you’ve got the securing of low cost biomass going forward, so that we should expect sort of no more write-downs, but also sort of a scale-up in your gross margin profile?
Chris Buysen: So, yes, as we have kind of worked through last quarter and as we have in previous fourth quarters, continually monitoring what the market is doing. So, as we’re kind of moving into Q1, I think we have seen kind of that stabilization in pricing in the market today. So, in the short term, we don’t see any more issues from a inventory impairment standpoint. And we’re definitely taking a very close look at all of our purchasing commitments to make sure that they’re targeted, as we look at the market, to continue to evolve as we move forward, wanting to make sure that we stay ahead of any changes in pricing. So, I guess, to directly answer your question, no, we don’t see any additional impairment in the short term.
Tyler Robson: Yes. Neal, Tyler here. We won’t have any, but you can mark my words right now, the rest of the sector is coming. So, I know we took our lumps, but we got out in front of it. We did it early. There’s absolutely zero chance we’re going to see more of those leaked out over the next fiscal year. So, again, just to hammer that, it was completely strategic. We did it on purpose. And you will see it affect other people coming very, very soon. So, we’re -- we stand behind this vision we have, and it will not be a regular thing or as of right now, it’s not even on our radar of ever doing that again. 
Operator: Thank you. Next question today is coming from Andrew Partheniou from Stifel. Your line is now live.
Andrew Partheniou: Hi. Thank you for taking my questions. I wanted to talk a little bit about your ongoing product launches, and continuing on your existing comments and answers to existing questions here. So, you guys already mentioned you have 5% of the market in 2.0 products in those provinces. But with the new product launches coming, your GTA facility coming on line, the acquisition of LYF closing, you also talked about an overall goal of touching 20% of 2.0 products. Well, could you give any kind of goalposts and maybe timing, if possible, of what you’re thinking about achieving in the edibles market, and maybe in the beverage market, in particular, since you have a dedicated facility for that?
Jeff Fallows: Sure. Maybe I’ll start with this one. Andrew, let’s unpack there. I’d say from a goalpost perspective, yes, we think that 20% per product category is a reasonable target for us to strive for. In the short-term, I’d say, what we’re focusing on is execution, right? So, we’re focusing on driving volume from existing SKUs, we’re focused on driving volume from the new products that we launch. And we think that that will naturally take that 5% market share that we have today and will drive that up over the course of the coming quarters. It’s a little challenging to say, based on market stats, et cetera, how quickly that’s going to happen. But obviously, as we continue to leverage our K2 facility and drive volume through there, we feel very capable of being able to service that kind of growth in that market opportunity in the coming quarters here. From a LYF perspective and the product category that we see there, we’re very excited about the market opportunity for those products. And the previous question around the launch of products and when some of those new style products are coming on line. First and foremost, there’s lots and lots of low-hanging fruit for us to achieve out of the gate in terms of getting quality gummy products to market. And we’re going to be focused on accessing that market opportunity. So, with that opportunity and the demand we’re seeing, we could get to that 20% sooner rather than later out of the LYF platform. Obviously, we want to make sure that we’re continuing to leverage the skill sets that we’re getting in LYF. And that means, additional new product launches, new product formats, et cetera. And that will hit the market over 2021 at strategic times. But lots and lots of opportunity for us to grab that market share from existing gummies.
Everett Knight: And Andrew, maybe just to expand on that, Everett here. That 4.9% market share that we advertised, that’s majority. That’s what we focused on last year in that K1 facility because we’re constrained. In Q2, now you’re going to see us launch not only bath bombs, but innovative gummies and more concentrate portfolio. I definitely keep an eye on that from a market share standpoint, as well as you get into other markets like Quebec and Manitoba here in the near-term. I think, we can obviously increase that and obviously even beat that in quarters to come.
Jeff Fallows: Sorry. I also sort of addressed on the GTA facility obviously coming on line later this year. We’re very, very encouraged by the response that we’re getting from the Summit 10 beverage, which is the higher potency beverage that we launched. That’s what’s really out there garnering the majority of the market share for us in the beverage category. We have a number of ongoing conversations preparing for the on-boarding of that Pommies facility later this year. It will not be a standing start in that facility, in terms of the partners that we’re working with and our ability to launch additional products. So, from that perspective as well we look forward to building on that current market share in beverages, when Pommies comes on line.
Andrew Partheniou: Really appreciate the detailed answer, guys. And maybe just switching gears to see your geographic expansion. Obviously, there’s lots of opportunity in terms of whitespace for that. You’ve already talked about Quebec and Manitoba. Wondering, first off, kind of a two-part question, what kind of opportunities do you see in Quebec, considering the restrictions and limitations on 2.0 products there? And do you see any kind of goal to reach the rest of the country?
Tyler Robson: So, multiple things to wind down as well. So first of all in Quebec, 2.0 products are only banned with the SQDCs. There is a way around and going through a medical platform, which we’re currently exploring, how do we do that? And the best thing Quebec too is innovation. When you really look at the pipeline of products they have, no one has done it well. So, when you really look at even the edible platform is the only thing you have to keep in mind is that it can’t be appealing to children. So, when you bring an edible to market, whether it’s a protein ball, call it like an Almond Joy, there’s ways to get in there, as long as it’s not appealing. And with the acquisition of LYF, we now have that ability, and we should have the first edible platform in Quebec, in the SQDCs and then also coming over the end with all of our 2.0 products into medical patients in Quebec. So, there’s multiple.  But what you’ll see throughout kind of 2021 is national distribution. So, the next key one for us is Quebec followed by Manitoba. After that, it’ll be many kinds. But, what we’re also going to do is double down on some of our key provinces right now. Because we have so many new product verticals coming in the whitespace, what we’re going to -- you’re going to see is also new listings, skewed in different provinces as well. So, the best way to think about it is more products, more distribution, more revenue in all of Canada, not just kind of Quebec and Manitoba coming.
Jeff Fallows: Andrew, maybe to expand on that too. What’s interesting about the Quebec market with some of the restrictions, you see an outsized beverage market. And I think that continues. And it’s a great opportunity to increase that beverage market, especially with the GTA facility coming on line later this year. I think, that’s a key focus for us. But, I continue to see growth there outsized compared to other provinces because of those restrictions. I think, the beverage market is particularly interesting.
Andrew Partheniou: Thanks again for the detailed answer. Definitely looking like a lot of excitement coming in this fiscal year. If I could just ask one more housekeeping question. The 10 times of biomass process, could you just remind us what exactly that includes?
Chris Buysen: So, the processing that we did this quarter was a mix of tolling that we did for a couple of our partners as well as the extraction of certain strains of product that was specifically destined for either our 2.0 product portfolio or for partners that were looking for either bulk winterized or distillate oil that we were able to manufacturer for them to get out to market.
Operator: Our next question today is coming from John Chu from Desjardins Capital Markets.
John Chu: Hi. Good morning. Maybe just some details on the LYF acquisition, you’ve had about a month to look under the hood now. And you had talked about some synergies, timing for when they’re going to be contributing from an EBITDA perspective, which I think for fiscal ‘21. So, anything in terms of accelerating some of those thoughts, and anything that was more positive than what you thought originally? And I think that you’ve had more time to look and see what’s there?
Jeff Fallows: Thanks, John. Maybe I’ll start with this one. So, obviously, when we were reviewing the life opportunity, and working with the team there, it was actually a much more than a month the work we did there. We spent a lot of time reviewing a number of opportunities, working with the LYF team, making sure culture match, et cetera. So, lots of time to look under the hood there. But as we’re looking into 2021, as we get more and more integrated and develop the plans for rolling forward, we do get more and more excited about the opportunities that we have in front of us. Right out of the gate, leveraging our world class, QA team, logistical infrastructure, et cetera, to making sure that the products that are leaving, they’re leaving there effectively and efficiently. That’s easy right off to that opportunity for us. But then, also in terms of integrating the customer platforms and focusing on driving volumes through those relationships, some of which we’re very strong with, some of which they’re very strong with, some of its where there’s overlap. So, in terms of timing on those synergies, for us, there’s a lot of low-hanging fruit that we’re accessing right away. But, it’s a little too early for us to sort of get a little bit more granular on that. But still think 2021 is a reasonable opportunity for us to start realizing that.
John Chu: Okay, great. And then, I’m just curious, since you’ve made that announcement, the acquisition. I know you’ve talked about cross-selling opportunities. Has any materialized since that announcement, or at least discussions and whatnot? I’m just curious, that has brought in a lot more calls or even finalized a couple of agreements that were in early stage of discussion but now’s accelerated into something more detailed than that?
Jeff Fallows: The short answer to that is yes. Yes, we’re very happy with how the acquisition was received. Yes, we’re very happy with how our existing portfolio and partners and relationships have come to us for opportunities. Yes, we’re very excited about how we’ve been able to expand portfolios with some of our existing customers, to include edibles and put additional proposals in front of them, and also ability to help the LYF team in terms of bringing some of their ongoing conversations to LYF and toward them. So, the short answer is, yes.
Tyler Robson: Just one quick thing. One thing, I would like to reiterate with that, there -- given it’s an opportunity to sit at the table with some of the people that we didn’t have access to, whether they had to deal with one of our competitors, as far as the extractors go. So yes, there are tons of synergies, but they go much past or much further than just the edible line. Now we’re cross-selling base beverages, concentrates in entire portfolio. And we’re truly becoming the one stop shop for cannabis derivatives or manufacturing. So, whether it’s analytical testing all the way down to final distribution right to the provinces, the entire ecosystem is benefiting from the acquisition.
John Chu: Okay, perfect. And then, the last question would just be, what’s that recent license amendment to now be able to be involved on the pre-rolls and flower? I find that to be a really interesting point comparing that’s 60% of the addressable market currently, or maybe a little bit higher than that? So, how soon can we start to see some of those product offerings hitting the marketplace?
Tyler Robson: So, got to be careful what I say here, but obviously it’s a huge opportunity with pre-rolls and flower being 61.8% of the Canadian market alone. And the one good thing that we have the ability to do is acquire biomass if want. So, if you look at some of our industry peers that cultivate, their stuck with generics they’re cultivating. So, if the harvest goes sideways on them, they have to still use that material. So, we can get a little bit more creative than them. So, we can buy terpene profile, we can buy flower genetics, we can buy anything you want. So, I would say, it would make sense for us to get into not only pre-rolls, but whole flower, with it being such a market opportunity right now. And with some of our partners, asking for it again, some of them are going asset-light, which we’ve seen some of them are selling off grow assets. And because we’re the largest purchaser of biomass, we can get it cheaper than anyone else. So, I would say, short answer is, if the customers want it, or the consumers want it, we’ll deliver regardless of what it is. At the end of the day, we’re a manufacturer, and we’ll deliver. But, there’s a massive opportunity, not only pre-rolls, flower as well.
Jeff Fallows: And John, if you think about what pre-rolls and flowers do in terms of driving interest into a brand? So, those customers that would have had just a derivative product portfolio, giving them the option to now also on the shelves to drive through pre-rolls and/or flower allows us to get much more synergy also in those product offerings, and brand awareness in the market.
John Chu: If you have a great vape brand and now that same brand is now offering a pre-roll or dried flower, it can work the other way too, right?
Jeff Fallows: Exactly, exactly. So, it’s all about what our customers are asking for, and when they’re looking at their portfolios and what we’re able to get.
Operator: Thank you. We have reached the end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
Tyler Robson: First of all, I just want to thank everybody for coming today. Obviously, 2020 was a challenging year for everybody in this space. There was headwinds and not only for the space as a whole, obviously our Company, we were restrained with COVID. We’re also being restrained with space. And now that we’re operational at K2 and turning new products and new verticals for new revenue opportunities, we’re extremely confident in where we’re going. Again, I think, we predicted the future of our organization very clearly. We bypassed cultivation. We went into attraction. And now, we’re bypassing extraction, getting into not only manufacturing but end to end cannabis solutions. So, we’re confident, we’re excited and we’re ready to deliver. And I think if you do exactly what we say we’re going to do, I think everyone’s going to be extremely happy with the outcome. And the one thing I am most comfortable with is delivering. At the end of the day, I’d like to call myself a purebred cannabis individual. I think I know cannabis better than most people in the space. So, at the end of the day we’re going to deliver. And the more time we spend with the LYF team, the more synergies I see, the more ecosystems we get into, and I know there’s an oversaturation in flower and I know there’s an oversaturation and inferior chocolate. But when we can bring innovative products tied to IP technology that no one else can do, whether it’s a spicy gummy wrapped in salt, like if you look at a habanero mango or if you look at a spicy margarita gummy with actual jalapeno and it wrapped in that orange salt. The innovation is next to none and I’ve been in every edible manufacturer and very few are actually made for edible manufacturing. Even if you look at what I call one of the top brands in Canada right now, they’re making it in a grow room. So, when you look at process flow, if you look at efficiencies, you look at IP, again, we’re going to blow people out of the water with what we’re bringing to the table. Now, another thing I really want to hammer home, I know a lot of people call us the lowest cost producer or one of the lowest costs, we are the lowest cost. We can buy biomass cheaper than anyone else to buy for, because we’re the biggest and we don’t cultivate anything. So, we can get extremely concise on what we’re buying and when we’re buying. And we’re not only buying cannabinoid content at this time, we’re buying terpene profiles, we’re buying genetics, we’re buying strains, we’re buying with purpose, rather than just burning through our inventory. The last thing I really want to hit home right now is the U.S. It’s not a matter of if, it’s a matter of when. And we’re going in as an ally, not an enemy. And what we’ve done in Canada, will bring into the U.S. And obviously, there’s a bigger market opportunity down there. So, in short order, you will see us maneuver. And again, we’ll go as an ally, not an enemy. And then, one other thing too, now that some of our industry partners are well-capitalized with the current round of financing, there’s a new pipeline of conversations that we’ve entered into, not only bring in new customers, but also move on from some. We’re getting a little bit more strategic. And in time, you’ll see us move away from cannabis partners to CPG relationships. So, now that people have money, we’re willing to sit at the table and talk to them. But, lots of changes are happening at Valens. And come 2022, we’re going to be a very different company. So again, just want to reiterate, we’re extremely confident and comfortable with where we’re going. And at the end of the day, it’s about delivery. So, with that I’ll ask the operator to close the call. And I want to thank everybody again.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time. And have a wonderful day. We thank you for your participation today.